Operator: Good morning.  My name is Tanya and I’ll be your conference operator today.  At this time, I’d like to welcome everyone to the ACI Q4 earnings conference call. [Operator Instructions] Tamar Gerber, Vice President of Investor Relations, you may begin your conference. 
Tamar Gerber: Thank you, Tanya.  Good morning, everyone, and thanks for joining our year-end call.  Today’s call, like all of our earnings events, is subject to both Safe Harbor and forward-looking cautionary statements.  You can find the full text of both Safe Harbor and forward-looking statements on the first and final pages of our presentation deck today, a copy of which is available on our website as well as filed with the SEC this morning.  Our management speakers today will be Phil Heasley, our CEO; and Scott Behrens, our CFO.  Both speakers will be available for Q&A following our remarks and will be joined by members of the executive management team.
 Before I turn the call over to Phil, I did have a few housekeeping items.  ACI will be participating in several upcoming conferences in the coming weeks, specifically Raymond James’ Institutional Investors conference on March 6, the Wedbush Securities TMT Conference on March 8, and the Credit Suisse Global Services Conference on March 13.  If you’re interested in one-on-one meetings, please contact the conference organizers or me directly.
 Phil, please go ahead. 
Philip Heasley: Good morning.  Happy Valentine’s Day and thanks for joining us today.  We have lots of good news to discuss related to our organic business as well as to the completion of our acquisition of S1.  With respect to ACI’s organic business, we had an excellent year.  As shown on Slide 4, we exceeded all our guideline metrics.  For 2011, we had another record year for sales bookings with $556 million.  The strong performance in sales is a testament to the mission critical nature of our solutions for our customers.  We also feel good about our sales prospects across all geographies in 2012.  Backlog was clearly up as we booked more add-on business around the world and also demonstrated real strength in online banking, in particular as compared to 2010.
 I always like to return to my core operating principals of controlled profitability and growth.  Over the past 5 years, we’ve put in the controls and the processes to operate the business and have significantly increased the profitability of ACI.  We are now firmly positioned in the growth space.
 In 2011, we delivered $465 million in revenue, an 11% increase over 2010.  We also demonstrated strong free cash flow generation from our underlying business units.  We remain committed to 20%-plus operating income margin as well as a 30%-plus adjusted EBITDA margin targets.  In 2011, we incrementally improved our margins, achieving an operating income margin of 16% and an adjusted EBITDA margin of 24%.
 Since I began reorganizing ACI towards a backlog-driven business, it has made our annual revenue attainment more consistent and more predictable.  This gives us a lot more comfort that we have transparency into the forward pipeline from a contracted and book basis, as well as enhanced understanding of our sales to revenue processes.  I am very pleased with our organic financial performance in 2011 and would like to thank the team for their hard work and effort in making these good results happen.
 If we turn to Slide 5, yesterday we announced that we completed the acquisition of S1.  The acquisition of S1 uniquely positions ACI as an industry leader in financial and payment software solutions with the ability to deliver the broadest suite of payment offerings worldwide.  S1’s products and capabilities are an excellent fit with our existing offerings and will help us create an even larger, more diversified company supported by a broader base of revenues.  The combined company will have approximately $700 million in revenue and $165 million in adjusted EBITDA.  Importantly, we can reiterate that we will achieve at least $30 million in annual cost synergies by combining our operations and infrastructure.  S1 brings to ACI a highly complementary set of products, strong global capabilities, and success with a range of financial institutions, processors and retailers globally.  Together, the combined company will provide a rich set of capabilities across the wholesale banking, retail banking, processors and merchants in developed and developing countries.
 In closing, I would like to thank Johann and his team.  This is an exciting transaction where both companies are coming together from a position of strength.  The enhanced size, scope and reach of ACI will offer even greater opportunities to our customers, employees and our shareholders.
 We also announced that S1 executive Jan Kruger has joined the ACI team and will report directly to me.  At ACI, Jan will head our growing application-on-demand business unit.  I expect that he will bring great management expertise and discipline to our combined application-on-demand and hosted business operations.
 Finally, I would also like to welcome the S1 associates to our one ACI family.  We look forward to working with you.
 I will now turn the call over to Scott to continue on both his review of our organic business results as well as further discussions on the acquisition of S1.  Scott? 
Scott Behrens: Thanks, Phil, and good morning, everyone.  I do have quite a bit of information to go through here this morning, but first I plan to go through the highlights of our fourth quarter and full year 2011 financial results, then provide an update on the S1 transaction as well as our outlook for 2012.
 So I’ll be starting my comments on Slide 7 with key takeaways from the quarter.  Overall, we had a strong quarterly performance, coming in better than the expectations we communicated in our October earnings call.  We saw solid add-on sales performance in all geographic regions.  We saw a strong revenue quarter, coming in at $135 million, down slightly compared to last year’s fourth quarter and that was primarily the result of the timing of go-live events in some of the non-recurring revenue that comes in that occurred earlier this year compared to all landing in the fourth quarter last year.
 Expenses were impacted this quarter by professional fees related to the S1 acquisition of $3.2 million, so excluding these deal-related expenses, our expenses would have come in at just under $95 million for the quarter, which is a decrease of nearly $4 million or 4% compared to the prior year quarter.  The quarter also delivered strong operating income and EBITDA, and as is typical of a fourth quarter of ours, we also saw strong free cash flow.  Turning now to Slide 8 with key takeaways from the full year. Starting first with sales -- as Phil already mentioned, we had a record sales year with more than $550 million in sales bookings, representing a $31 million increase over last year.  Next, 60-month backlog which, as we’ve said many times in the past, is really the key barometer of how we measure the economic health and value of the business -- 60-month backlog grew in excess of $60 million, driven obviously by the year’s strong sales.  We saw strong revenue growth, up nearly $47 million or 11% over last year’s with recurring revenue growing $26 million or 9% and comprising 67% of our annual revenue.  And really overall, we saw broad growth across all revenue categories and all geographic regions.
 Expenses for the full year were also impacted by the professional fees related to the S1 acquisition of $6.7 million.  The other growth in expenses over the prior year were primarily in 2 areas, one being higher selling and marketing expenses which is really reflective of the higher sales activity, and higher R&D expenses which reflects our continued investment in accelerating product development, and that really to meet higher customer sales demand.
 Continuing on Slide 9 with further takeaways from the year, we saw strong free cash flow up more than $4 million over last year.  We saw strong growth in operating income and adjusted EBITDA growing 36% and 28% respectively, and both of those figures excluding the S1-related pro fees I previously mentioned.  Lastly on this slide, we saw a much lower effective tax rate during 2011 benefiting from the release of certain tax reserves during the year.
 And on Slide 10. Here we summarize our full-year results with all key metrics, exceeding guidance for the full year.
 Turning now to Slide 11. This shows our expectations for 2012 in our organic business, that being before the incremental impact of S1.  As you can see, we expect organic revenue growth in the mid- to high-single digits in a range of $490 million to $500 million.  We are starting 2012 with $424 million of our revenue in our 12-month backlog, so we have about 85% of what we’re expecting for 2012 organic revenue already in our beginning contracted book of business.
 Turning to our other guidance metrics, we expect organic operating income to be in a range of $84 million to $89 million, which represents a growth rate 3x that of our revenue growth, and we expect organic adjusted EBITDA to be in a range of $124 million to $129 million, representing a growth rate of 2x our revenue growth.  Again, this really continues a multi-year trend of layering on the incremental revenue of go-live events, as well as the incremental benefit of renewing our existing customer contracts with better economics as well as our cross-selling opportunities, all while continuing to maintain our strong expense discipline.  Just as a note here, all these guidance metrics are based on the foreign currency exchange rates as of December 31.
 Next, I’ll turn to Slide 13 with an update on the S1 acquisition.  As you’re all aware, here over the last few days we closed the S1 acquisition, but really from an integration planning perspective, that’s been underway now for a number of months.  We’ve already identified the specific actions necessary to achieve the $30 million in synergy cost reductions and expect these actions to be completed by the end of the first quarter.
 Additionally, you’ll see we note here that we do expect to achieve further cost synergies beyond the $30 million that we’ve identified already, those additional savings coming from both data center and facilities consolidation.  We’re still in the process of assessing those additional cost synergies but expect to be able to provide the timing of the financial impact of those actions in future quarters.
 From an operational integration perspective, the large financial institution segment and the payment segment of S1 will be integrated into our operations effective immediately.  The community banking segment, which is obviously a new market for us, will continue to be managed as a separate business unit for the near term as we continue to assess its fit within the overall ACI business strategy.
 The final point on this slide is to emphasize again, as we’ve said in the past, that the combined business will have a strong financial profile with more than $180 million of cash post-closing, and we’ll have a conservative capital structure at a little more than 2x levered.
 Turning to Slide 14. Here we show the pro forma combined business for the full-year 2011.  For ACI, we’re using our actual results; for S1, we’re using the midpoint of their full-year guidance range.  In both sets of these numbers, we are excluding the one-time costs associated with the transaction that were incurred in 2011, which I’ve noted here at the bottom.  So on a pro forma basis, the combined business has a little more than 700 million in revenue and a blended adjusted EBITDA of 20%.  You can also see here that we’ve developed their –- or computed their 60-month backlog consistent with the way we calculate our 60-month backlog, and we estimate here that it’s $685 million, which when combined with our $1.6 billion of 60-month backlog as of December 31, creates a backlog in excess of $2.3 billion; so obviously a solid combined 5-year book of business.
 Turning next to Slide 15. Here we provide our combined outlook for 2012.  We started the model with the midpoint of the guidance that I previously provided for the ACI business on a standalone basis.  So on a combined basis, we expect revenue to be in a range of $696 million to $706 million, and there are several key items to point out that we considered and you should be considering as you build your financial models for 2012:  One is that S1 will begin to contribute to our operations here with the mid-February closing of the transaction, so we’ve modeled in 10.5 months of revenue contribution from S1.  The second factor, for those of you who are not as familiar with the S1 business, is that in December of 2011 S1 concluded a multi-year wind-down of a large customer contract, that being the State Farm business.  State Farm had contributed $17 million of revenue to the 2011 results, so 2012 really starts off with the loss of that State Farm business. And third, the third item impacting the financial model is for the incremental revenue is the impact of acquisition accounting.  As most of you know, the acquisition accounting for software companies results in a deferred revenue haircut that essentially reduces a portion of the revenue that carries over from the target.  We’ve estimated the impact on 2012 revenue from that haircut to be about $12 million.  We’ve provided a bit more detailed walk on how we built the guidance in our appendix, so make sure to take a look at that.
 Moving to the other guidance metrics, we expect adjusted EBITDA to be in a range of $165 million to $170 million and operating income to be in a range of $99 million to $104 million.  As I previously mentioned, we expect to be able to achieve the $30 million in annualized cost takeouts by the end of our first quarter, so by the end of March.  We expect in 2012 to get a full 3 quarters’ benefit of that annualized cost takeout, so about $23 million of cost savings for the year.  Both of these guidance ranges exclude the impact of any one-time transaction-related expenses, that being the investment banking fees, legal fees, other professional fees, as well as change in control and severance.  We expect those expenses to be around $16 million.
 One other item to point out here is that if you exclude the deferred revenue haircut of $12 million, the 2012 adjusted EBITDA margins on a combined basis are actually in line with our healthier organic EBITDA margins.
 Turning lastly to Slide 16. Here we illustrate the expected combined cash and debt statistics at closing.  With combined cash of more than $180 million and total debt of $370 million, and based on the pro forma combined 2011 EBITDA, that leaves us conservatively levered at a little more than 2x on a gross basis and a little more than 1x on a net of cash basis.  The final note here, just to point out, our Board has increased our share buyback authorization up to $75 million, which really provides us with enhanced flexibility to deploy the strong cash flow we’re expecting from the combined business post-close.
 So that concludes my prepared remarks.  Operator, we are ready to open the line to questions at this time. 
Operator: [Operator Instructions] Our first question comes from the line of Gil Luria from Wedbush Securities. 
Gil Luria: First on the core business, continues to be doing very well.  It doesn’t appear that there’s any region that’s been weak or affected.  Could you go through just the overall environment in terms of the region by region?  There’s been a lot of fear that there would be weakness in Europe; I don’t know if we’ve necessarily seen that.  Have you seen some of the big banks pull back?  Is it in specific countries, specific regions?  That’d be very helpful. 
Philip Heasley: Well Gil, I think the easiest way to answer it is not region by region but to tell you that we have not seen pullback in any of the regions around the world, that pipelines are still strong, decision-making is still strong.  We may have created a little bit of –- this is  going through the DOJ thing for 120 days, I don’t think made it optimal for some of our customers to pull the trigger, but that clearly was a hiatus that we created, not the marketplace. 
Gil Luria: Great.  And then my second question is about the synergies, the $30 million.  Where are those going to be sourced from?  What are the places where you see that happening, I guess, in the next 1.5 months? 
Scott Behrens: Well as we’ve indicated in the past, those are going to be in overlapping public company costs, overlapping SG&A.  Those are going to be the primary areas here in the next 1.5 months.  We’ve also indicated that we expect to be able to announce at a later time incremental cost synergies, those primarily related to the facilities and data center consolidation.  Obviously those take a bit more time and we’ll be prepared to announce later in the year what the financial impact and timing of those will be. 
Philip Heasley: Yes, Gil, real quickly is that -- we happen to be at our annual kickoff.  We have our entire company distribution and we actually have several dozen of our newest additions here in terms of from the S1 family.  We know exactly what we need to do and we’re going to communicate that to our people next week, as a matter of fact.  We’re going to get through our kickoff this week, and we understand it right down to last 0.5% in terms of what we said we were going to do; we’re just not going to be doing a lot of delineation of that until we talk in detail to our own people about it. 
Operator: Your next question comes from the line of George Sutton from Craig-Hallum. 
George Sutton: My first question, Phil, is for you -- during this process, I think you felt the market was a bit too focused specifically on the —- and obviously the DOJ was very focused on the U.S. payments business at S1, but there was quite a bit of the other parts of the business that you were very excited about.  I wonder if you could just give us a quick sense of where your enthusiasm specifically was coming from as you put these 2 businesses together. 
Philip Heasley: Well, yes, we have tremendous respect for what S1 has done globally.  It gives us the continent of Africa in payments in a way that we could never recreate ourselves.  That’s a very valuable, very profitable asset and whatnot.  As it relates to it being overlapping or horribly redundant with our U.S. financial markets, that quite honestly is a misnomer and I’m not going to perpetuate that as a misnomer.  We and they weren’t even in the same markets as it related to that.  It certainly augments our ability and enhances our capabilities as it relates to the retailer side, not the financial institutions but the retailer side of it; and we view that as very positive.  That being said, the 2 major asset opportunities that are acquired by the combination of the 2 companies is our online capabilities, which the combination of ACI’s approach from a non-functional standpoint in terms of scalability, reliability and whatnot, and a lot of good internationalization that S1 was well ahead of us in terms of that.  And then combined from a feature function standpoint, we really are going to have the premier offerings in the online categories, and it adds branch and it makes trade —- it adds significantly -— our trade offerings were anemic compared to what they have, so combined we’re very, very strong.  And then probably the most exciting piece —- it’s not less exciting, the whole business, but what it does for us from a mobile standpoint and our ability to execute mobile across our entire array of payment opportunities, I think is probably the largest intangible asset that we -— we didn’t buy a lot of revenue from it, but we bought a huge amount of capability and expertise as it relates to that.  So that’s how I’d answer that question, George. 
George Sutton: That’s great.  And as you look at —- you mentioned the retailer piece of this.  MasterCard and Visa are now talking about finally bringing some form of chip and PIN technology to the U.S.  What would that do for your combined business, particularly on the retail side? 
Philip Heasley: Well, I think their bringing chip and PIN to the large financial institutions, I think we would have been able to satisfy that.  To be honest, we would have been able to satisfy that capability in a very straightforward fashion.  We’ve done it for Europe and the rest of the world, so that would have been an extension of our business.  That’s a organic -— I think that’s a great organic opportunity.  That’s probably not an S1-oriented opportunity as it relates to the U.S. market. 
Operator: Your next question comes from the line of John Kraft from D.A. Davidson. 
John Kraft: I guess the first question I wanted to ask was you have suggested and suggested again that you’re sort of evaluating the community bank segment of S1; and I guess I was curious what the puts and takes are.  Is there a suite of products that you would be able to cross-sell into that customer base?  And from a financial perspective, the revenues are recurring.  That seems like that would be fairly attractive. 
Philip Heasley: Well, John, first of all, what was in their community banking piece, there’s one we should make really clear —- they had a branch capability, and we’ve already made the decision that we’re 100% committed to the branch capability.  We’ve actually moved it to be online, so when we talk about online, the branch piece will now move over in terms of that.  They have 2 other segments that are not yet integrated, one on the credit union side that represents an acquisition they made a couple years ago, and the other one being what they call CSIN [ph]  -— or we call CSIN [ph], I shouldn’t talk -— I apologize.  And the CSIN [ph] is very interesting because it’s been -— I think Johann and his team has done a great job of rebuilding it on the Postilion technology, and it fully integrates a payment capability with the online capability.  Because of the DOJ activities and whatnot, we haven’t really had the opportunity to do a deep dive into Postilion because it basically was technologically -— it would have been inappropriate to look at it before, what, the 6th of February.  So we’re not going to pretend to be geniuses at this point, but we really have to evaluate what that means, and we also believe that, that has international capabilities and marrying that with our distribution network might be something in Asia and Latin America and other places in South America that could be a very powerful offering.  We just -— we’d be getting ahead of ourselves and being overly boastful to project anything other than we’re still in analysis of that at this point. 
John Kraft: Okay, that’s fair.  And then another one, if I may -- does the acquisition at all change your plan to gradually upgrade your customer base to the EPS platform?  Theoretically, EPS could be updated with some of the functionality from S1. 
Philip Heasley: Well, I’m going to take those 2 questions.  The questions are do we intend to continually update EPS?  The answer is absolutely, positively yes.  We’re as committed to EPS as we ever were, and we spend a lot of money against that.  Now having said that, there are certain things especially outside the United States where they have built certain connectivity and whatnot that will be reusable -— at least half the asset is reusable.  Certainly the market piece [ph] has cross-value to it and whatnot, so we’re committed to the Postilion technology but at this point, we’re probably more committed to it as it relates to much less complex markets than the United States and some of the western economies.  In particular, we’re very committed to it from a merchant retailer standpoint, and as I just said in the previous question, we’re looking at it very seriously in terms of its capabilities from a CSIN [ph] standpoint.  I think it’s begun to at least think through tightly linking mobile capabilities within itself, and they’ve done some really exciting things in Africa with that.  So, yes, there’s an awful of lot of technological value that comes from Postilion.  Whether it’s translatable directly to EPS, probably less so than it’s translatable to other business opportunities around the world. 
Operator: Your next question comes from the line of Wayne Johnson from Raymond James. 
Wayne Johnson: Two questions -- first on S1, could you comment at all on how complete the small bank technology conversion -- this is their IVR business -- to the new platform, how complete was that, or is it now that you own S1?  This has been a project that was ongoing at S1, I believe, for almost 2 years, and just wondering if they finally were able to button that up. 
Philip Heasley: You mean not button it up -- you mean complete the conversions? 
Wayne Johnson: Yes. 
Philip Heasley: Right.  There are still some conversions left to do, but they have made good progress.  Again, we’ve not technically been able to —- but I can tell you this with confidence:  it’s much more complete than it is uncomplete.  The majority, whether it’s the vast majority or the majority, I can’t —- but it is more complete than not complete.  They’ve put a lot of energy into that. 
Wayne Johnson: Okay.  And separately, back to BASE 24, now that BASE 24 Classic has been sunset, which I believe was in November, what is the annual goal for converting those clients to EPS?  Should we look for 15 to 20 a year?  How should we think about that? 
Philip Heasley: We have this like-for-like program, right, so that we will renew Classic and then anytime during the period that that Classic renewal takes place, if they decide that they want to convert, they want to begin with the networks, if they want to do it in phases and whatnot, we’ll do that.  So I don’t think it’s prudent for us to give numbers and whatnot out.  We have quite a few migrations beginning around the world.  The only way we’re going to declare them done is when we’ve actually converted over and they kind of go out of category Classic to the other category. Sunset, again, we keep reemphasizing this -- to us, sunset is not end of life.  We support the 3 generations prior to BASE 24 Classic -- believe it or not, some still running around the rest of the world, as well as every acquired platform we’ve ever purchased.  So the migration will be very much a function of us syncing up our plans with our customers.  It’s more a function of customer roadmap than it is ACI’s roadmap. 
Operator: [Operator Instructions] Your next question comes from the line of Thomas McCrohan from Janney. 
Thomas McCrohan: Question on bookings -- is there any thoughts on bookings trajectory for 2012?  Last year you provided some type of bookings guidance for ’11, I think in the high 400 range; but it appears that today’s guidance is somewhat silent on bookings. 
Scott Behrens: Right.  There are certain metrics that we aren’t prepared at this point to go out with.  Obviously, we just recently got a hold of some of the sales pipeline -— granular sales pipeline detail from S1.  They obviously historically have not computed sales value consistent with what we have, so we’ll take some time to go through the mechanics of that math but we’ll provide further information on that in future quarters.  There’s other metrics that we haven’t provided at this point, but certainly wanted to get out the key revenue and income metrics that we provided. 
Thomas McCrohan: That’s fair.  And Scott, on recurring revenues, that’s been a metric that’s been trending nicely for ACI.  Can you give us a feel for on a combined basis what the recurring revenue profile will look like? 
Scott Behrens: Well, we’re -- so this year we had -- 2011, we were at around high 60% range.  They have inherently less recurring revenue.  Theirs will be maintenance and their hosting, but a lot of their historical business has had to rely less on recurring revenue.  So I don’t have a blended percentage rate yet on what the combined is for 2012, but I would say it looks like probably for 2012, obviously it’d be a weighted average less than our 67% for now.  But over time, we would expect that percentage to come back up more in line with our organic. 
Thomas McCrohan: If I could squeeze in one last question -- does the acquisition change at all the relationship at IBM? 
Philip Heasley: Oh, I’ll answer that.  It could potentially change the relationship with IBM in that we now have a much broader expanse of items to discuss with them.  I think you know that we’re in the last year of this phase, and we and they have to decide whether we’re going to renew or not renew the deal.  We have a great relationship with IBM, and as we and they said, we’re going to have a lot of good dialogue about this.  But at the end of the day, each company has to what’s best for their shareholders and their prospects. 
Operator: Your next question comes from the line of Brett Huff from Stephens. 
Brett Huff: My first question is about pipelines.  Phil, you mentioned that the pipeline activity at S1 obviously was impacted at some level while the -- because the DOJ took a long time to sort of go through its process.  Could you comment on sort of what kind of conservatism you guys have built into the guidance as a result of that, if any?  And then sort of related, can you give us a quick update on the 10 or 12 sort of global deals that you all have been pursuing and what we can kind of expect, and whether or not that’s in the guidance or not? 
Philip Heasley: All right, I’ll answer it and then I’ll actually let Ralph talk to the pipeline piece also.  I apologize if I misquoted before -- I wasn’t really complaining about the pipeline.  The pipeline is probably better than it’s ever been.  What I was saying was pipeline to closing, you know, people being at the 99th percent may have been what’s been impacted in the last 120 days, because everyone’s saying, okay, what direction —-tell us your plan.  So that’s been more the situation than the pipeline decreasing.  The pipelines are actually very good. So that being said, I can’t say that we’ve built any conservatism into a more robust pipeline. Ralph? 
Ralph Dangelmaier: No, I agree.  Our pipeline has really never been stronger, and we just recently sat down with S1 management to compare pipelines, to make sure that we’re putting our resources on the right opportunities.  I think Phil is exactly right -- we just had probably a little delay because of the DOJ and the U.S. primarily.  So I don’t any concerns going forward. 
Brett Huff: And any comment on the global deals you all have identified and already had some success with?  Any update on those, and anything you can tell us? 
Philip Heasley: Well, we have the same to larger size inventory than we did last time we talked, and per our normal policy, we don’t project when very large complicated deals get done.  Every time they need another board meeting, right, it could be as much as 1/4 of a year apart.  So we’re not going to be overpopulating our forecasts with elephant hunting. 
Operator: There are no further questions at this time.  We turn the call back over to the presenters. 
Tamar Gerber: Thank you very much, and just again -- we will be in 3 conferences in the upcoming weeks.  Look forward to seeing many of you there, and don’t hesitate to call.  Thanks a lot. 
Operator: This concludes today’s conference call.  You may now disconnect.